Operator: Good day, and welcome to the Third Quarter 2013 ONEOK and ONEOK Partners Earnings Call. Today's conference is being recorded. At this time, I'd like to turn the conference over to Mr. Andrew Ziola. Please go ahead, sir.
Andrew J. Ziola: Thank you very much, and welcome to our third quarter 2013 earnings conference call. A reminder that statements made during this call that might include ONEOK or ONEOK Partners' expectations or predictions should be considered forward-looking statements and are covered by the Safe Harbor provision of the Securities Acts of 1933 and 1934. Actual results could differ materially from those projected in any forward-looking statement. For a discussion of factors that could cause actual results to differ, please refer to our SEC filings. Before we begin, a brief announcement. The ONEOK, ONEOK Partners and ONE Gas Investor Day is scheduled for Tuesday, December 3, in New York. A Save the Date notice was sent last week, and we'll be following up with webcast information in a couple of weeks. With that, our first speaker is John Gibson, Chairman and CEO of ONEOK and ONEOK Partners. John?
John W. Gibson: Thanks, Andrew. Thank you. Good morning. And many thanks for joining us today. As always, we appreciate your continued interest and investment in ONEOK and ONEOK Partners. Joining me on the call today are Derek Reiners, our Chief Financial Officer; and Terry Spencer, our President. Also on the call and available to answer your questions are Pierce Norton, our Executive Vice President of Commercial; and Rob Martinovich, our Executive Vice President of Operations. On this morning's call, we will review our third quarter 2013 financial results, review our updated 2013 guidance ranges, discuss the acquisition of the Sage Creek assets, and discuss the current status and key milestones of the ONE Gas separation. So let's get started with our third quarter performance. ONEOK's third quarter performance was driven by continued volume growth in ONEOK Partners with volume increases in natural gas gathered and processed and natural gas liquids gathered as a result of the growth projects that we've completed. At ONEOK Partners, our NGL exchange-services margins increased compared with the same period in 2012 as we continued to execute our strategy to convert capacity held for optimization activities to fee-based contracts. As a result and as expected, our optimization margins declined as a result of this reduced capacity and the expected tighter NGL price differentials experienced between Mont Belvieu and Conway. Also, as anticipated, ethane rejection had some impact on our third quarter results. However it was less than $11 million and does not include the positive impact of minimum volume obligation. Our Natural Gas Distribution segment performed well during the quarter benefiting from new rates in all 3 of the states it serves. Energy Services' results were a bit higher than expected due to release and/or the assignment of certain transportation and storage contracts at higher rates than we initially assumed. As we typically do this time of the year, we have updated our net income guidance range for ONEOK and net income and distributable cash flow range for ONEOK Partners. As Andrew mentioned, at our Investor Day in New York on December 3, we intend to provide 2014 guidance and updated 3-year financial forecasts for ONEOK, ONEOK Partners and ONE Gas. At this time, Derek will now review ONEOK's financial highlights, followed by Terry, who will review ONEOK's operating performance. Derek?
Derek S. Reiners: Thanks, John, and good morning. ONEOK's third quarter net income was approximately $62 million or $0.30 per diluted share, including a noncash charge, as expected, from the release of transportation capacity related to the accelerated wind-down of the Energy Services segment. ONEOK's net income in the third quarter 2013 would have been approximately $73 million or $0.35 per diluted share excluding the impact of the noncash charge compared with $65 million or $0.31 per diluted share for the third quarter of 2012. In the third quarter of 2013, Energy Services recorded a $16 million pretax noncash charge, which, for the 9-month 2013 period, totaled $130 million related to the capacity releases executed in 2013 for certain transportation and storage contracts. These charges were lower than we initially estimated as we received higher rates on some contracts compared with our original estimates. During the third quarter 2013, the segment paid approximately $6 million in cash related to these obligations. We expect future cash payments associated with the released transportation and storage capacity from the wind-down to total approximately $89 million on an after-tax basis with approximately $8 million to be paid in the fourth quarter of 2013, $33 million in 2014, $24 million in 2015 and $24 million over the period 2016 through 2023. In the first 9 months of 2013, ONEOK received approximately $397 million in distributions from ONEOK Partners, a 27% increase from the same period last year. ONEOK's year-to-date 2013 standalone cash flow before changes in working capital exceeded standalone capital expenditures and dividend payments by $117 million. In October, we declared a dividend of $0.38 per share, unchanged from the previous quarter. As John mentioned, we did update ONEOK's 2013 net income guidance range, now expected to be in the range of $245 million to $275 million compared with $235 million to $285 million. The midpoint remains the same, reflecting the lower than anticipated noncash charges in the Energy Services business, offset by lower than anticipated earnings in the partnership's Natural Gas Liquids segment. ONEOK's balance sheet and liquidity position remains solid. At the end of the third quarter on a standalone basis, we had $515 million of commercial paper outstanding, $57 million of cash and cash equivalents, and $683 million available under our $1.2 billion revolving credit facility. Our standalone long-term debt-to-capitalization ratio was 44%. At ONEOK's Investor Day, we will provide new dividend growth rate expectations at ONEOK. And as previously discussed, we expect the growth in ONEOK's dividend to be competitive with its pure-play general partner peers. The new dividend, which is subject to Board approval, is expected to be declared in the quarter after the ONE Gas transaction is completed. So if the separation occurs in the fourth -- in the first quarter of 2014, as we anticipate, we would expect to declare the new dividend in April. Additionally ONE Gas will provide its expected initial dividend growth rate expectations and payout ratio range. We also expect to share our thoughts on how to think about the dividend and liquidity needs at ONEOK post-separation. Now Terry will update you on ONEOK's operating performance.
Terry K. Spencer: Thank you, Derek, and good morning, everyone. Let's start with our Natural Gas Distribution segment. Third quarter 2013 earnings were higher, primarily reflecting higher rates in Oklahoma, Kansas and Texas. Operating costs were slightly higher compared with the third quarter 2012 primarily because of higher pension expenses, which were partially offset by lower share-based compensation expenses. As Derek discussed, the Energy Services segment incurred a lower-than-expected noncash charge related to the released capacity in the third quarter. Excluding that charge, net margin increased by approximately $11 million in the segment compared with the same period last year primarily due to lower demand charge costs in the third quarter of 2013 resulting from reduced contracted transportation and storage capacity. John, that concludes my remarks for ONEOK.
John W. Gibson: Thank you, Terry. Now Derek will review ONEOK Partners' financial performance, then Terry will come back and review the partnership's operating performance, growth projects and discuss the Sage Creek acquisition.
Derek S. Reiners: Thanks, John. In the third quarter, ONEOK Partners' net income was approximately $216 million or $0.64 per unit compared with $232 million or $0.78 per unit in the third quarter of 2012. Distributable cash flow was $259 million in the quarter compared with $261 million in the third quarter of 2012, resulting in a coverage ratio of 1.14x for the third quarter of 2013. Distributable cash flow was $704 million for the first 9 months of 2013, providing a 1.04x coverage compared with $781 million for the same period last year. Our long-term annual coverage ratio target remains at 1.05x to 1.15x. However as discussed in previous conference calls, we expect our full year 2013 to be slightly above 1x coverage. In August, we completed a public offering of 11.5 million common units, which generated proceeds of $553 million. In September, we completed a $1.25 billion public offering of senior notes, generating net proceeds of approximately $1.24 billion. Proceeds from these 2 offerings provide significant capacity for our capital expenditures program. We now expect ONEOK Partners' 2013 net income to be in the range of $790 million to $830 million compared with the previous range of $790 million to $870 million. The new range reflects lower anticipated earnings in our NGL segment due to narrower NGL location price differentials. The partnership's DCF is now expected in the range of $930 million to $980 million compared with its previous range of $910 million to $1 billion. The midpoint remains at $955 million. An update on our 2013 growth capital forecast to $2 billion from approximately $2.2 billion and reduced our maintenance capital to $100 million from $120 million for 2013 primarily due to timing. This does not impact our $5.3 billion to $5.6 billion growth program. We increased the distribution declared by $0.005 per unit to $0.725 in the third quarter of 2013, an increase of 6% from the third quarter of 2012. In the earnings release, you'll note some updates on our hedging information as we continue to hedge commodity risk when appropriate. At the end of the third quarter, the partnership had $723 million of cash and cash equivalents, $47 million in commercial paper and approximately $1.2 billion of credit available to us on our revolving credit facility. Our long-term debt-to-capitalization ratio was 55%, and our debt-to-adjusted EBITDA ratio was 4.2x. We have ample liquidity to support the partnership's ongoing capital program. In regards to our at-the-market equity program, we took a conservative approach by not selling units while ONEOK was evaluating the ONE Gas separation, and we were blacked out for most of the third quarter due to our August equity issuance. We do expect to utilize this program in the future when conditions warrant as a way to manage our equity issuances over time. Now Terry will update you on the partnership's operating performance.
Terry K. Spencer: Thank you, Derek. Natural Gas Gathering and Processing segment's third quarter operating income was higher due primarily to higher natural gas volumes gathered and processed, offset partially by lower realized NGL prices and higher operating costs and depreciation expense due to the growth projects we've placed in service over the last year. Natural gas volumes gathered and processed continue to grow, driven by increased well connections in the Williston Basin and Western Oklahoma. For the third quarter, natural gas volumes gathered increased 21%, natural gas volumes processed increased 25% and NGLs sold increased 34% compared with the same period last year, driven by the Williston Basin's new Garden Creek and Stateline I and II natural gas processing plants and related infrastructure projects completed in 2012 and in 2013. We connected 340 wells in the third quarter, our highest ever, and 950 September year-to-date compared with 710 wells last year through September. We now expect to connect approximately 1,200 wells to our Williston Basin and the Mid-Continent gathering systems in 2013. Accordingly we remain confident on our volume expectations we provided on our last earnings call. Our Natural Gas Liquids segment's third quarter results were lower due to significantly narrower Conway-to-Mont Belvieu NGL price differentials and the impact of ethane rejection. As expected, NGL exchange service's margins and NGLs gathered continued to grow, while NGL optimization margins decreased compared with the same period last year as a result of ONEOK Partner's strategy to convert NGL optimization capacity to fee-based exchange services capacity that partially offset the impact of narrower Conway-to-Mont Belvieu differentials. Our integrated NGL system also enabled us to capture higher margins from wider NGL product price differentials. From a volume perspective, NGLs transported on gathering lines were 574,000 barrels per day in the third quarter of 2013, up 8% compared with the same period last year and up 4% compared with the second quarter 2013. As in the G&P segment, we remain confident in the NGL segment's volume expectations we provided on our last earnings call. Ethane rejection did result in NGL pipeline capacity typically utilized for exchange services business becoming available for optimization activity, allowing us to benefit somewhat from NGL price differentials that are still relatively narrow compared to the 5-year average between the Mid-Continent and Gulf Coast NGL market centers. The Natural Gas Pipeline segment's third quarter financial results were slightly higher compared with the same period in 2012. Equity earnings from Northern Border Pipeline were lower in the third quarter of 2013 due to reduced transportation rates on Northern Border Pipeline. Substantially all of Northern Border Pipeline's long-haul transportation capacity has now been contracted through March 2015. Now an update on our projects. We have several projects expected to be completed in the coming months. The MB-2 NGL fractionator at Mont Belvieu is expected to be in service this month, and the Sterling III Pipeline is expected to be completed by the end of this year with the flexibility to transport either unfractionated NGLs or NGL purity products from the Mid-Continent region to the Texas Gulf Coast. By the end of this year, we will have spent approximately $130 million for the Divide County natural gas gathering system project in North Dakota. The remaining $20 million of additional expansion for this project will be spent throughout 2014 to complete the remaining infrastructure. Last month, we completed the acquisition of the Sage Creek assets, which include a 50 million cubic feet per day natural gas processing plant and NGL pipeline systems in the NGL-rich area of the Powder River Basin. We also plan to invest additional capital to upgrade and construct natural gas gathering and processing-related infrastructure and well connections and NGL gathering pipelines, which will connect to Sage Creek and third-party processing plants, including a lateral to our NGL pipeline in -- the Bakken NGL pipeline. This acquisition provides significant long-term growth potential in the basin and the opportunity to provide area producers and processors with a full menu of midstream natural gas and NGL-related services. Now a brief look at the NGL markets. We have not changed our outlook for ethane rejection for 2014 and 2015. We still believe that ethane rejection by natural gas processing plants connected to our NGL system will continue at current levels of approximately 90,000 barrels per day throughout much of 2014 and through 2015 but primarily in the Rockies. Gulf Coast and Conway NGL inventory levels, especially for ethane and propane, are decreasing as ethane rejection continues and due to strong export demand for propane. From a demand perspective, with major plant outages behind them, the petchems are consuming the excess ethane inventory, and we expect a significant drawdown throughout the remainder of this year and into 2014. The petchems are operating at high utilization rates with ethane as their primary feedstock, and we see no signs of that slowing down. Additionally some petchems who have been using propane as a feedstock have, over the past few months, switched back to ethane, which we estimate to be 50,000 to 75,000 barrels per day. From a pricing perspective, this should lead to some upside momentum to ethane prices. But we expect it will be slow and moderated by the ability of processors to recover ethane fairly quickly and rebalance the market. Propane inventories are decreasing in both Conway and Mont Belvieu from extensive seasonal demand from crop drying in the Upper Midwest and from strong export demand. In recent weeks, we have seen Conway-to-Mont Belvieu ethane price differentials range from $0.03 to $0.06 per gallon, and we expect this range to continue for the rest of this year. While we recognize the continued near-term challenges regarding excess ethane supply, the partnership remains well positioned through its integrated network of assets and NGL-rich basins to provide essential services to its customers for the long term. John, that concludes my remarks.
John W. Gibson: Thank you, Terry. Now let me provide you with an update on the status and the timeline of the ONE Gas separation. All of those involved have made remarkable progress to complete the necessary filings required for the separation, which include, of course, the Form 10, the New York stock exchange listing materials, the IRS and the FERC filings, and completing and updating the filings with the Kansas Corporation Commission and related parties. Our discussions with the KCC have been very productive and collaborative. Last week, the KCC released a procedural schedule for the order-setting process. There are 2 possible tracks for approval. The first proposes a settlement agreement with all parties designed to be sent to the KCC for approval by the end of 2013. And the second, if the parties are unable to reach a settlement, would result in KCC approval in late February. We are confident that our discussions with the KCC and other parties will continue to be productive, and we still expect to complete the separation in the first quarter of 2014. Upon the KCC approval, we estimate the transaction will close within 4 to 5 weeks thereafter. In closing, I'd like to again thank our 5,000 employees whose commitment, dedication, skills and experience allow us to operate our assets safely, reliably and environmentally responsibly every day and to create exceptional value for our investors and our customers. Our entire management team appreciates all of our employees' efforts to make our company successful. So at this time, we are now ready to take your questions. Thank you.
Operator: [Operator Instructions] And we'll take our first question from Ted Durbin with Goldman Sachs.
Theodore Durbin - Goldman Sachs Group Inc., Research Division: I just wanted to check on the Sage Creek acquisition. Maybe I missed this, but what's the run rate EBITDA on the existing assets? And then what are the volume assumptions that you're making to get to the, I think it's $40 million to $60 million of incremental EBITDA?
Terry K. Spencer: Well, Ted, we actually don't provide that specificity publicly, okay, as far as what our volume forecasts are. But what I can tell you is that the EBITDA estimate that we've provided when we announced the project is really just the -- a kind of a Phase I, if you will, okay, but there's going to be additional projects, which we kind of refer to as the Phase II. So we'll see some significant increase in EBITDA there. Much of that is driven not only by increased gathering and processing revenues but, in particular, NGL-related revenues associated with the natural gas liquids that will connect into the Bakken Pipeline.
John W. Gibson: So Ted, I think it's safe to say that the opportunity in buying those assets was for future development. We didn't look at that as an opportunity to buy earnings as much as it was to buy future earnings.
Terry K. Spencer: Yes, that's great. The only thing I would add to that is that 1 of the key components in the acquisition were the substantial acreage dedications that went with it.
Theodore Durbin - Goldman Sachs Group Inc., Research Division: Got it. Okay. That's helpful. And then if we can talk about the Bakken maybe again, how you're seeing that shape up with where production seems like it's kind of reaccelerated, the need for additional processing plants, gathering infrastructure, kind of where your acreage dedications are, if you see the need for that. And then if you could talk about your contracting strategy up there. I think you're -- you've mostly gone POP, but would you maybe try to go fee-based on anything, any future development?
Terry K. Spencer: Ted, development continues to be very strong, particularly with the multi-pad drilling that's going on, so the producers are really able to complete a lot of wells quickly. So the production, as you've probably seen publicly, the public -- people who follow the Bakken, production's going off the charts. So we expect to continue to make investments as it relates to gathering and processing infrastructure. Now I forgotten the last part of your question.
Theodore Durbin - Goldman Sachs Group Inc., Research Division: Just the contracting strategy. Would you book more -- just stay more POP? I think your acreage dedication will lead you there, but would you try to make that more fee based? Or how are you thinking about that?
Terry K. Spencer: We already have fee-based components in our contract. They're a mix of POP and fee based. Don't anticipate changing it because that strategy has worked real well for us.
John W. Gibson: I might add one of the reasons that strategy has worked so well is that's what the producer wants. So that's kind of a natural.
Terry K. Spencer: And that mutual alignment up here has worked extremely well when both parties make more money. When prices are up, both parties make more money at the same time. But really, don't anticipate changing the contracting strategy, Ted.
Theodore Durbin - Goldman Sachs Group Inc., Research Division: Got it. And then last 1one for me just on the maintenance CapEx. I did see it came down for this year. How should we think about sort of more of a run rate for maintenance CapEx as we're thinking about end of 2014 and 2015?
Terry K. Spencer: Yes, Ted, we've been in that $100 million to -- over our history last couple of years been in that $100 million to $120 million run rate range. Going forward, it will increase somewhat slightly, certainly, as we increase the assets that we have on our books. I think the same, we -- you've got to think about, as it relates to this maintenance capital because there's -- about 20% to 25% of that maintenance capital are discretionary type of items. So we can -- they're noncritical types of maintenance capital like clearing rights-of-way, painting parking lots, things like that. So they're noncritical items, and so we have the ability to defer those depending upon what our work priorities are. So you can see that number fluctuate from year-to-year. And most of the time, it is attributable to these discretionary items I just mentioned. Does that help you?
Theodore Durbin - Goldman Sachs Group Inc., Research Division: Great. That's very helpful.
Operator: And we'll take our next question from Chris Sighinolfi with Jefferies.
Christopher P. Sighinolfi - Jefferies LLC, Research Division: Just a quick question on price realizations in the G&P segment. It seems like there's been some weakness this year relative to NYMEX realizations and also the hedge prices. So I'm just curious, what's going on there, Terry, in the Mid-Con and specifically with your G&P operations? What's driving that, and if those conditions are likely to change in coming periods?
Terry K. Spencer: Yes, it's a great question, Chris. We had -- in the third quarter, we had a bit of an anomaly where the prices we realized with unhedged volumes were very low due to basis disconnect in the Bakken that AECO prices had really gotten beaten pretty hard, and the trickle back affects the Bakken. We saw some dollar discounts between the Bakken and the market area. So that affected us and affected that pricing in the third quarter, and that's the primary reason for that spread, that disconnect, if you will.
Christopher P. Sighinolfi - Jefferies LLC, Research Division: Okay. And how do you see that sort of progressing as we move forward in time, Terry? Obviously ted was asking about growth from that basin, but -- from the gas side, then how do you think about pricing disconnects on a go-forward?
Terry K. Spencer: I think it's resolving. That issue is resolving itself. It's not really a problem today, but it's there. As Canadian volumes continue to grow, as Marcellus gas backs up into the Midwest, that's going to impact us somewhat. So you're going to still see some pricing disconnects.
Christopher P. Sighinolfi - Jefferies LLC, Research Division: Okay. I think switching gears a little bit, I appreciate your NGL market color, update on your views. I'm just curious, what you anticipating for your Pads 2 and 3 processing, your frac assets, given the pending in-service of Apex? And then I guess related to that, Terry, we have a couple of light-grade lines proposed down to the Gulf Coast region, one of which seems to require some downstream fractionation. We've seen some of the other Belvieu peers announce plans to pursue permits on some incremental fractionation capacity there. Just interested to know, post MB-2, what else sort of remains in the backlog that you might be working on to accommodate that pipe, should it come?
Terry K. Spencer: Well certainly, with the pipelines that are being built into the region, some of them are not being built with companion fractionation capacity. So the opportunity exists for us to potentially provide more fractionation services, to provide storage services and infrastructure services for those parties that do construct or build those pipelines or ship through those pipelines. So I think there's going to be opportunity for us without necessarily having to own and operate a pipeline all the way back to the -- to these basins. As far as the impact from those projects you talked about, one in particular, Texas Express coming out of the Panhandle area down to the Gulf Coast, we've -- that pipeline has started up, and we've already seen some impact from that in the Conway prices, okay. As they started that pipeline up and accumulated line fill, we did see some pressure. So those pipelines are going to impact the market somewhat.
Christopher P. Sighinolfi - Jefferies LLC, Research Division: Okay. Got it. I think final question for me, Terry. Given Ted's question about growth from the Bakken, obviously you've got a lot of shadow growth projects still out there, and you've had an appetite in the past to pursue some crude oil infrastructure projects. I'm just wondering what sort of the conversation has been like recently with potential counterparties on some of that shadow inventory given where pricing spreads have gone. Has there been a change in that dynamic and in those conversations?
Terry K. Spencer: Well certainly, they don't disregard the market. They look and see what's going on. The bottom line is, they still -- many of our customers want to get to Belvieu. It's where the most liquid market is. And they understand there's a cost. Regardless of the basis spread between Conway and Belvieu, there is a cost associated with getting -- us building and operating this infrastructure. So they're willing to pay the freight and are stepping up and paying the freight. And so we're continuing to execute on and develop opportunity for new supplies and, in particular, crude oil, as it relates to crude oil. We're -- we've seen that basis spread, that East Coast basis spread compress. Now it's widened back out, okay? So it's very volatile. And we've seen producers want to continue to discuss the possibility of a pipeline asset, in particular out of the Bakken all the way down to Cushing. But, as you might not be surprised, those producers still remain hesitant to make the types of commitments that's necessary at least for our capital to make a project like that work.
Operator: And we'll take our next question from John Edwards with Crédit Suisse.
John Edwards - Crédit Suisse AG, Research Division: Just could you -- I don't know if I saw it, but the in-service date for the expansion that you're doing around your Sage Creek acquisition.
Terry K. Spencer: Yes, 2015 was the timeframe. Just the -- you're talking about the lateral that we...
John Edwards - Crédit Suisse AG, Research Division: Yes, the $135 million one you just -- you announced with this release.
Terry K. Spencer: Yes, exactly. That consists of 2 things, or actually 3 things, primarily: The $50 million expansion of processing facility, or it's a modification of the processing facility to allow us to handle extremely rich gas that's being produced out of this play. The rest is a pipeline to interconnect these assets to the Bakken, plus another pipeline lateral to connect it to third-party processing plants, okay?
John Edwards - Crédit Suisse AG, Research Division: Okay, that's -- you're looking first half or second half of '15?
Terry K. Spencer: Actually, you're look -- right around the end of 2014, perhaps early 2015.
John Edwards - Crédit Suisse AG, Research Division: Okay, got you. All right. And then I just want to make sure I heard you right. Your expectations on the Conway-Belvieu spread in NGLs, you're looking at $0.03 to $0.06 a gallon. Is that the thought process?
Terry K. Spencer: That's the range that we expect.
John Edwards - Crédit Suisse AG, Research Division: Okay. And then in terms of going further out, are you still looking for that range, say, for '14 and '15?
Terry K. Spencer: We're looking at probably something a little higher, maybe $0.06 to $0.07 going forward for EP. We think that the ethane inventory overhang is one of those key things that has affected this spread. And certainly, we've seen it affect it here in the fourth quarter. But as we move through this fourth quarter and into the second quarter, we and many of the experts expect this ethane inventory overhang to be substantially resolved.
Operator: And we'll go next to Christine Cho with Barclays.
Christine Cho - Barclays Capital, Research Division: I know the answer for this maybe that it's contract specific, but at a high level, can you give us some color around the older plans that may not be that efficient in extracting out ethane? Does the customer have a daily, weekly or monthly option to reject ethane?
Terry K. Spencer: No, they do not. They don't -- they really cannot drive our operations.
Christine Cho - Barclays Capital, Research Division: Meaning, you guys pick?
Terry K. Spencer: That's correct.
Christine Cho - Barclays Capital, Research Division: I see. Okay. And then have you contracted capacity on the Bakken NGL line or any of your other NGL distribution or gathering lines on a ship-or-pay basis for your equity barrels? Or is it more based on actual volume shipped? How do we think about that?
Terry K. Spencer: Well most of the capacity on these new projects, and the Bakken Pipeline included, most of these are on a ship-or-pay basis, okay?
Christine Cho - Barclays Capital, Research Division: Well even for your equity barrels?
Terry K. Spencer: Yes.
Christine Cho - Barclays Capital, Research Division: And then when you contracted it, I mean, it was over a year ago, did you only take enough capacity for propane plus volumes? Or did you include ethane in it, too?
Terry K. Spencer: Well some ethane's been included in that.
Christine Cho - Barclays Capital, Research Division: Okay. And then in the NGL segment, you mentioned operational measurment gains. can you remind us what that exactly is? And then also, when you say higher revenues from customers with minimum volume obligation, does this mean they have to pay some penalties for not meeting minimum volume?
Terry K. Spencer: Okay, let's take this -- that's a bunch of questions, so -- and I guarantee you I won't remember them all. But let me take the first one, telling you what operational measurement gains are. It relates to measurements. Inherent in NGL or natural gas measurement, you have some inaccuracy, okay, plus or minus, less than 1% in most cases. That's what that is. And from time to time, we'll have periods where we have gains in the system or losses, okay? So that's what that's referring to, okay? And your next question was?
Christine Cho - Barclays Capital, Research Division: You guys point out that you had higher revenues from customers with minimum volume obligations. I was just curious if that meant that they have to pay some penalty for not meeting minimum volumes.
Terry K. Spencer: That's right. In the MVA contracts that we have, there is a penalty payment that they have to make if they're deficient. Or it's -- sometimes, we call it deficiency payments that they have to make.
Christine Cho - Barclays Capital, Research Division: Okay. And then at distribution, are you guys tracking better than expected? Or is there something -- some timing-related differences in 4Q that would cause full year operating income numbers to come in around the $227 million number that you previously guided towards?
Pierce H. Norton: Christine, this is Pierce. We're tracking on plan. If you'll notice, kind of the year-over-year is more some pension-related costs, but we're tracking where we expect to be.
Operator: And that concludes our question-and-answer session. I'll turn the call back to our speakers for any further remarks.
Andrew J. Ziola: Well thank you for joining us, everybody. Our quiet period for the fourth quarter starts when we close our books in early January and extends until earnings are released after the market closes on February 24 followed by our conference call on February 25. We will provide details on the conference call at a later date. T.D. Eureste and I will be available throughout the day to answer any follow-up questions you may have. Thank you, and have a good day.
Operator: Ladies and gentlemen, this does conclude today's teleconference. We thank you for your participation.